Operator: Greetings and welcome to the First Quarter 2020 Earnings Conference Call for D.R. Horton, America’s Builder, the largest builder in the United States. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It’s now my pleasure to introduce your host, Jessica Hansen, Vice President, Investor Relations for D.R. Horton. Please go ahead.
Jessica Hansen: Thank you, Kevin, and good morning. Welcome to our call to discuss our results for the first quarter of fiscal 2020. Before we get started, today’s call may include comments that constitute forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. Although D.R. Horton believes any such statements are based on reasonable assumptions, there is no assurance that actual outcomes will not be materially different. All forward-looking statements are based upon information available to D.R. Horton on the date of this conference call and D.R. Horton does not undertake any obligation to publicly update or revise any forward-looking statements. Additional information about issues that could lead to material changes in performance is contained in D.R. Horton’s annual report on Form 10-K, which is filed with the Securities and Exchange Commission. This morning’s earnings release can be found on our website at investor.drhorton.com, and we plan to file our 10-Q in the day or two. After this call, we will post updated investor and supplementary data presentations to our Investor Relations site on the Presentations section under News & Events for your reference. Now, I will turn the call over to David Auld, our President and CEO.
David Auld: Thank you, Jessica, and good morning. In addition to Jessica, I’m pleased to be joined on this call by Mike Murray, our Executive Vice President and Chief Operating Officer; and Bill Wheat, our Executive Vice President and Chief Financial Officer. The D.R. Horton team started the year off strong. Our consolidated pretax income for the quarter increased 39% to $523 million on a 14% increase in revenue to $4 billion. Our pretax profit margin improved 230 basis points to 13%, and our net sales orders increased 19%. Our homebuilding return on inventory for the trailing 12 months ended December 31st was 18.7% and our consolidated return on equity for the same period was 18.2%. These results reflect strength of our operational teams, our ability to leverage D.R. Horton scale across our broad geographic footprint, and our product positioning to offer homes at affordable price points across multiple brands. We continue to see a good demand and a limited supply of homes at affordable prices across our markets, while economic fundamentals and financing availability remain strong -- solid, excuse me. Our strategic focus is to continue consolidated market share, while growing our revenues and profits, generating strong annual cash flows and returns, and maintaining a flexible financial position with a conservative balance sheet that includes an ample supply of homes, lots and lands for growth. We are well-positioned for the remainder of 2020 and future years. Mike?
Mike Murray: Diluted earnings per share for the first quarter of fiscal 2020 increased 53% to $1.16 per share, compared to $0.76 per share in the prior year quarter. Net income for the quarter increased 50% to $431 million, compared to $287 million. Our first quarter results included tax benefit of $32.9 million related to federal energy efficient homes tax credits that were retroactively reinstated. Our consolidated pretax income increased 39% to $523 million in the first quarter and our homebuilding pretax income increased 30% to $462 million. Our first quarter home sales revenues increased 13% to $3.9 billion on 12,959 homes closed, up from $3.4 billion on 11,500 homes closed in the prior year. Our average closing price for the quarter was up 1% from last year to $298,100 and the average size of our homes closed was down 2%, reflecting our ongoing efforts to keep our homes affordable. Bill?
Bill Wheat: Net sales orders in the first quarter increased 19% to 13,126 homes and the value of those orders was $3.9 billion, up 22% from $3.2 billion in the prior year. Our significant sales price increase over the prior year quarter reflects the moderation in demand that occurred in late calendar 2018. Our average number of active selling communities increased 6% from the prior year and was flat sequentially. Our average sales price on net sales orders in the first quarter was $300,900, up 3% from the prior year. The cancellation rate for the first quarter was 20% compared to 24% in the same quarter last year. Jessica?
Jessica Hansen: Our gross profit margin on home sales revenue in the first quarter was 21%, flat sequentially from the September quarter, up 100 basis points compared to the prior year quarter and in line with our expectations. Based on today’s market conditions, we currently expect our home sales gross margin in the second quarter to be consistent with the first quarter, subject to possible fluctuations due to product and geographic mix, as well as the relative impacts of warranty, litigation and purchase accounting. Bill?
Bill Wheat: In the first quarter, homebuilding SG&A expense as a percentage of revenues was 9.2%, down 30 basis points from 9.5% in the prior year quarter. We remain focused on controlling our SG&A, while ensuring that our infrastructure adequately supports our growth. Mike?
Mike Murray: We ended the first quarter with 30,200 homes in inventory. 18,400 of our total homes were unsold of which 5,600 were completed. Our first quarter homebuilding investments in lots, land and development totaled $1.3 billion, of which $890 million was for purchases of land and finished lots, while $410 million was for land development. Our underwriting criteria and operational expectations for new communities remained consistent at a minimum 20% annual pre tax return on inventory and return of our initial cash within 24 months. David?
David Auld: At December 31st, our homebuilding lot position consisted of approximately 320,000 lots of which 39% were owned and 61% were controlled through purchase contracts. 33% of our total owned lots are finished and at least 56% of our controlled lots are will be finished when we purchase them. We continue working to increase our lot position being developed by third parties by supporting the growth of Forestar’s national lot manufacturing platform and expanding our relationship with lot developers across the country. Our current lot portfolio includes an ample supply of lots for homes at affordable price points and continues to provide a strong competitive advantage. Mike?
Mike Murray: Forestar, our majority owned subsidiary is a publicly-traded residential lot manufacturer, operating in 51 markets across 20 states. At December 31st, Forestar’s lot position consisted of 44,500 lots of which 32,200 are owned and 12,300 our controlled through purchase contracts. 80% of Forestar’s owned lots are already under contract with D.R. Horton or subject to a right of first offer under the master supply agreement. During the first quarter of fiscal 2020, Forestar delivered 2,422 lots and is on track to deliver 10,000 lots in fiscal 2020 and generate $800 million to 850 million of revenue. Forestar expects to deliver 12,000 lots and generate $900 million to $1 billion of revenue in fiscal 2021. These expectations are for Forestar’s standalone results. Forestar is separately capitalized from D.R. Horton and is committed to maintaining a long-term net debt to capital ratio of 40% or lower. At December 31st, Forestar’s net debt to capital ratio was 9.7%. Forestar has approximately $720 million of liquidity to fund its continued growth, which includes $370 million of unrestricted cash and $350 million of available capacity on its revolving credit facility. Forestar hosted their quarterly earnings call last Thursday and have an updated presentation on their Investors site and investor.forestar.com that describes Forestar’s unique lot manufacturing model, and a significant growth and value creation opportunity. Jessica?
Jessica Hansen: Financial services pretax income in the first quarter increased 29% to $30.5 million and the pretax profit margin was 29.6%, up from 27.7% in the prior year. 97% of our mortgage company’s loan originations during the quarter related to homes closed by our homebuilding operations, and our mortgage company handled the financing for 65% of our homebuyers. FHA and VA loans accounted for 49% of the mortgage company’s volume. Borrowers originating loans with DHI Mortgage this quarter had an average FICO score of 720 and an average loan to value ratio of 89%. First time homebuyers represented 50% of the closings handled by our mortgage company, reflecting our continued focus on offering homes at affordable price points for entry level buyers. David?
David Auld: DHI Communities is our multifamily rental company focused suburban garden-style apartments with operations primarily in Texas, Arizona and Florida. During the quarter, DHI Communities sold its third apartment project located in Phoenix for $61.5 million and recognized a gain on sale of $31.2 million. DHI Communities has four projects under active construction and one project that was substantially complete at the end of the quarter. DHI Communities’ total assets were $210 million at December 31st. Bill?
Bill Wheat: Our balanced capital approach focuses on being flexible, opportunistic and disciplined. Our balance sheet strength and operating results are providing increased flexibility, and we are utilizing our strong position to enhance the long-term value of the Company. During the first three months of fiscal 2020, our cash used in homebuilding operations was $178.4 million, compared to $396.8 million in the prior year period. At December 31st, we had $2.6 billion of homebuilding liquidity, consisting of $1.2 billion of unrestricted homebuilding cash and $1.4 billion of available capacity on our homebuilding revolving credit facility. Our homebuilding leverage improved 370 basis points to 19.5%. The balance of our homebuilding public notes outstanding at the end of the quarter was $2.4 billion. And we have $500 million of senior notes maturing on February 15th, which we plan to repay, utilizing cash on hand and our revolving credit facility, as necessary. At December 31st, our stockholders’ equity was $10.2 billion and book value per share was $27.92, up 14% from a year ago. During the quarter, we paid cash dividends of $64.6 million. We also repurchased 3 million shares of common stock for $163.1 million, resulting in $732.6 million remaining on our stock repurchase authorization at December 31, 2019. Our outstanding share count was down 2%, year-over-year. Jessica?
Jessica Hansen: Looking forward to the second quarter of fiscal 2020, we expect to generate consolidated revenues in a range of $4.25 billion to $4.4 billion and to close approximately 13,800 to 14,300 homes. We expect our home sales gross margin in the second quarter to be approximately 21% and homebuilding SG&A in the second quarter to be around 9% of homebuilding revenues. Based on today’s market conditions and our first quarter results, we now expect to generate consolidated revenues for the full year of $18.5 billion to $19.1 billion and to close between 60,000 and 61,500 homes. We expect our income tax rate in the second, third and fourth quarters to be between 23% and 24%. We still expect to generate cash flow from homebuilding operations in excess of $1 billion for the full fiscal year of 2020, and we expect our outstanding share count to be down approximately 2% at the end of the year, compared to the end of fiscal 2019. David?
David Auld: In closing, our results reflect the strength of our well-established operating platform across the country. We are focused on consolidating market share while growing our revenues and profits and generating strong annual cash flows and returns while maintaining a flexible financial position. Our return on equity of 18.2% and our homebuilding return on inventory of 18.7%, demonstrate our consistent focus and efforts. We’re well-positioned to continue this performance with our conservative balance sheet, broad geographic footprint, affordable product offering across multiple brands, attractive finished lot and land position and most importantly, our outstanding experienced teams across the country. Thank you to the entire D.R. Horton team for your focus and hard work. We are incredibly well-positioned to continue growing and improving our operations. This concludes our prepared remarks. We will now host questions.
Operator: [Operator Instructions] Our first question today is coming from Carl Reichardt from BTIG. Your line is now live.
Carl Reichardt: I wanted to ask something you guys often have talked about is the idea of getting your cash back out of your investments in land within two years. And with some of your peers moving to some of the products and markets that you serve, I’m just curious as to your perspective, David, on the land market in general for affordable homes and your ability to continue to run the model where you’re getting cash out in two years.
David Auld: Well, the cash out in two years is something we stayed with through this -- from the downturn on. And I can tell you that that model has worked very well for us. And I don’t see that changing. And as to the overall market for buying land, again, it comes back to the people we have embedded in these markets and relationships they have with the land’s owners. And we feel very good about our opportunity to replace what we’re building through, and through this market have seen that happen over and over and over again, so.
Carl Reichardt: And then, on similar lines with looking like starts are going to pick up with orders strong for lots of folks, I’m curious as to your perspective on the labor market, subs in particular, and what you’re seeing and thinking about in terms of the potential for increases in cost there this year, as these orders get built out?
David Auld: I think, there’s always going to be that pressure on the cost side. Definitely, labor is getting tighter and continues to -- I think going to restrict a lot of people’s ability to deliver houses. Again, it goes back to the kind of operating profile we adopted and continue, and that is consistent starts throughout the community, expanding the labor base, the efficiency, not necessarily just bodies. And we feel very good about what we’ve accomplished. We have a very loyal trade base. I think I said on the last call, our traders don’t have to go chase their paychecks. So, all of that combines to put us in a great position. Is it going to be a problem? I think less so for us than other people.
Operator: Our next question is coming from John Lovallo from Bank of America Merrill Lynch. Your line is now live.
John Lovallo: First one on the order ASP over -- a little bit over 300,000 in the quarter, that was up pretty nicely a year-over-year. And I know you mentioned that there’s some normalization off of a challenging period last year. But just curious, if we kind of break down that number, is that kind of regional and product mix driven, or are you taking pricing on a like-for-like basis?
Jessica Hansen: Part of it is regionally driven. If you look at our orders this year, the South Central was down 2% in terms of just the mix, the overall mix, and that’s actually our lowest ASP region. So, we continue to expect just modest sale price increases as we move throughout the year, and to cover our costs increases, but on the like-for-like basis nothing significant in the way of price.
John Lovallo: And then, just curious how you’re thinking about the Forestar investment. If the plan is to kind of continue to dilute your stake through issuing equity out of Forestar, or are you now considering -- or any plan to potentially sell down your actual ownership position?
Mike Murray: Yes. We’re still on track with our plan there John to ultimately deconsolidate Forestar. We were pleased when they were able to issue their first primary equity offering in September, which diluted our position down from the original 75%; here in December, we’re sitting at 65%. We would expect additional equity issuances from Forestar over time that could continue to dilute our position. And then, as we’ve also said all along, there’s a potential that we could sell some of our shares. And at the point in time that we are ready to do that, we will have a plan in place that will complement the primary equity issuance. And those two things together would result in further dilution in our ownership position.
Operator: Our next question is coming from Alan Ratner from Zelman and Associates. Your line is now live.
Alan Ratner: So, first one, I think last quarter you guys commented just when you thought about the full-year, your best guess at that point would be that gross margins would be kind of similar in that 21% range. And you obviously hit that this quarter and 2Q guide is similar as well. So, just first off, is there any change in your thinking in terms of the progression in margins through the year, obviously very strong sales environment? So, how should we think about as the year progresses, what happens to margin?
David Auld: I think, we’re going to see consistent margins into the second quarter. And then frankly, as usual this time of the year, the spring selling season will really dictate where margins go in Q3 and Q4. Early returns in the spring selling season have been very positive. So, we’re confident in giving our guidance of consistent margins in the Q2, but we’re going to have to wait and see what happens in the next several weeks.
Alan Ratner: Second question, if I look at your homes in inventory, that’s been -- at least on a year-over-year basis has been trending lower for the last several quarters. I think this quarter you’re down about 10% year-over-year. And obviously, last year was elevated a bit because of the sales -- the tougher sales environment. But, are you seeing a greater component of sales coming from to be built, or have you changed your thinking -- your thought process at all in terms of the optimal number of specs per community that would be translated into that type of decline we’re seeing, or are you trying to amp that higher as the spring gets underway?
David Auld: A couple of things going on with that number, Alan. One, the comparison to prior year, we’re actually down 5%. We’ve changed the way we report homes and inventory to exclude the model homes. So, last year, we were -- where we were last year, like 31,800; and so, this year, we are at 30,200. So, we’re down slightly from last year. And last year may have been a bit elevated with softer sales and operating environment we saw in the fourth calendar quarter of ‘18. Another thing we’ve talked about is getting better at turning our housing inventory to drive a higher return with those investment dollars. And then, we’re also seeing the ability to push starts in as we’re seeing demand come on. We’re not noticing any kind of a difference in the mix between to be built versus our spec starts, continuing probably an 80-20 consistent approach for that.
Operator: Our next question is coming from Stephen Kim from Evercore ISI. Your line is now live.
Stephen Kim: First question I had for you is on the land spend. The land spend was fairly high relative to our expectations this quarter. I’m talking specifically on the acquisition number of 890. [Ph] And as a percentage of rev, that was probably the highest we’ve seen in six years. And, given your discipline and given your outlook on the business and your intention to basically get a return on that spend within 24 months, it seems that there’s a fair amount of optimism that’s implied by that strong land spend. So, I was wondering if you could talk a little bit more about that, maybe break that down for us, at least qualitatively, in terms of was that kind of a strong land spend fairly equally distributed across the country where there are certain opportunities that emerged in a particular region or a particular product type that garnered a lion share of that? If you could just talk about the relatively strong land spend in greater detail?
Mike Murray: Sure, Stephen. As you know, you start your land spend, there is some lumpiness kind of from quarter-to-quarter. And so, one quarter, just based on the timing of when deals close and when they get ready to go and based on our business plans, there can be a bit of lumpiness there. One thing I would point out is that over half of our land acquisition spend is for finished lots. And so, we continue to dedicate a lot of our spend to finished lots which turn very quickly. And so I would really just attribute -- I wouldn’t say there is necessarily any changes in our plans, but I would attribute a bit of this to a bit of a lumpiness, point out that finished lots are a heavy part of the spend. But, then we do -- we are optimistic. We do see growth, certainty in fiscal ‘20. And right now, we still see very good underlying fundamentals for the business. And so, we are still actively replenishing our land and lot supply.
Jessica Hansen: And we have to replenish it at a faster rate as we continue to grow our sales and closings pace. You have seen our owned lot count remained relatively flat for quite some time. So, it’s really just a function of having to replenish at a faster rate.
Stephen Kim: Great. Yes. That’s helpful. Second question relates to the broader macro environment or rather the broader environment with respect to housing policy. We’ve seen some interesting moves here as of late. We have seen the average DTIs, the high DTIs and high LTV lending be curtailed or reined back the FHFA. And yes, we’ve also heard that CFPD weigh in here and suggest they’re going to move to an APOR spread versus the DTI. I was curious as to whether or not you have looked into this. Some of what we’ve heard is that the move to the APOR spread would actually be stimulative to entry-level housing, on top of the dropping rates. That would seem to be extremely favorable for your business. And I was curious if you had looked at that at all. And if you have any view on whether or not these broader factors may be positive for your business the way it would appear to us?
Jessica Hansen: Sure. High level, I think we’d agree with what you’re saying. That being said, it’s super early and out there and it’s not something that we spend a lot of time on. I’m sure our mortgage company would have a much more detailed response for you. But anything that continues to improve mortgage standards and makes it easier for people to get into a house clearly would be a benefit for our business. That being said, as David mentioned in his opening, financing availability is still good. I mean people that should be buying houses are who are buying houses today. And we’re not necessarily in favor of people with significantly high DTIs or really low credit scores being in a house because we’re very cognizant of what happened last cycle, and we don’t want any repeat of that.
Operator: Thank you. Our next question is coming from Truman Patterson from Wells Fargo. Your line is now live.
Truman Patterson: So, your guidance is for mid to high single digit closing growth. You’ve bumped up the high end a little bit. But, is there anything structurally limiting you from going above the high end of that guidance, particularly on the land side and thinking availability of lots, your ability to get lots developed? And that also includes municipality constraints, delaying community openings that might create any kind of gap-outs?
Mike Murray: Truman, we’re really excited about the way this year started off the first quarter and through the first several weeks of January, and we have increased our guidance as a result of that. Structurally, it’s a question of the lots that are out in front of us. We feel good about the community positioning we have, getting some communities opened. But right now, we’re not going to increase our guidance, based on where we are today in the spring selling season. But, we will certainly look to deliver all the homes we can. That’s the best returns we can do in fiscal ‘20.
Truman Patterson: Okay. So, put another way, there’s nothing structurally limiting you on the land side from going above that if the market is a bit healthier than what you expect as of today?
Mike Murray: There is a finite number of homes we can build over the next 8.5, 9 months and deliver by September 30th. But, we’re comfortable with our guidance range today, and we’re just going to have to see what the spring is going to give us and where we end up in our inventory positioning in March and in April and May.
Jessica Hansen: Our guidance already incorporates a higher housing inventory turnover than what we did last year. So, it reflects an improvement in terms of building, selling and closing more houses this year than last year, which is what we continue to be focused on is there’s efficiencies in the business. But that is what limits further upside to our current guidance.
Truman Patterson: Okay. And then, sticking on the land side. Your option lots jumped nicely this quarter, as you all continue rotating towards more option land, how should we think about where that growth comes from? Is it primarily through Forestar? Is it more than even balance between Forestar and your third-party developers? And then, any way you can put out a target over the next couple of years, what you think you can get that option land bank as a percentage of total up to?
David Auld: We’re not going to set a hard target. Internally, we talk about goals, but that’s an internal conversation. And it’s kind of a balanced program. I think, the Forestar platform is again built out. We’re very happy with the progress we’re making there. But, we are also equally focused on our third-party developers. And they are a part of the D.R. Horton family. And that pipeline continues to get better and bigger. And so, it’s a collection of the two. Primarily, it’s just focus. We’re treating capital as if it’s a precious commodity. And we’re going to try to treat it better than anybody else in the industry.
Operator: Thank you. Our next question is coming from Matthew Bouley from Barclays. Your line is now live.
Matthew Bouley: Good morning. Thank you for taking my questions. So, I wanted to ask on the SG&A side, since your guidance implies sort of flat percentage year-over-year, although you are growing the top line and kind of managing that inventory positioning. Is there any reason why we wouldn’t see a bit more leverage? And how should we think about that beyond the next quarter? Thank you.
Bill Wheat: To the extent we’re delivering on our closings guidance and showing mid to high single digit growth in revenue, we do expect to see leverage on our SG&A and improvement year-over-year. We’re very pleased with the 30 basis points we saw in the first quarter. Based on what we see today and the volume we see in Q2, we do expect SG&A to be relatively flat with last year in Q2. But overall, we do expect some leverage for the year.
Matthew Bouley: Okay. I appreciate that. And then, as you just mentioned, I believe to the prior question, your guidance for the Q2 closings does imply kind of a continued uptick on that conversion of your inventory positioning. But, you did also mention earlier that labor is kind of not surprisingly getting tighter. So, can you speak a bit about that balance? And what exactly are you guys doing on the ground that supports that improving efficiency? Thank you.
David Auld: It gets back to -- to me, it gets back to relationships with trade base. And for the last, I don’t know, ever since the downturn, we’ve had a steady and consistent level of production going in our communities. And so, our trade base has gotten better at building the houses. And when they’re not out there chasing work, then they can build more houses. What I look at is the same labor. We build more square footage with the same labor hours. So, it’s a process. It’s something we’ve worked on all the way through this cycle. I think early on, we felt like labor was going to be the constraint on housing. And we have done I think a great job of managing the trade base and making sure that those guys were making money. And we were still delivering houses at a reasonable cost.
Mike Murray: Matt, the other thing we look at here and we watch sort of from a high level perspective is what our build times are doing in our process when we start a house, can we get it completed and then closed. And we’re not seeing those times elongate, which would be real, more acute indicators of labor shortages in various markets. So, the longstanding deep relationships we have with a lot of the labor suppliers, combined with a more efficient plan set, if you will, in our communities and focus on the first time homebuyer and affordability, has driven our ability to continue to turn houses a little bit better, and we’re going to see a lot of improvement in that metric this year.
Operator: Our next question is coming from Michael Rehaut from JP Morgan. Your line is now live.
Michael Rehaut: First question I had was on your outlook for the year for community count and sales pace. I believe last quarter you talked about, and correct me if I’m wrong, but you’d expect community count -- average community count for the year to be up year-over-year, low single digits. I was wondering if that’s still the expectation. I believe it’s been flat sequentially more or less for last few quarters, but I guess the expectation would be to drift upward a little bit. And then, also on the sales pace, you had a nice improvement year-over-year. And I was just curious, if that was more driven by market conditions or certain product or geographic mix shifts, and how you think about the next quarter or two?
Jessica Hansen: Sure. So, when we think about community count, Mike, it’s the hardest one for us to predict, quite honestly, which is why we never give formal guidance on it. I think, our base case would be that we would anticipate it to tick up at some point, as we move throughout the year. But when that inflection point actually happens, it’s hard to call exactly. In terms of the sales pace, as we mentioned in the script, that does reflect the moderation in demand we saw in late calendar 2018. So, we did have -- although we generally don’t talk about comps, we did have a relatively easy comp, when you look at that. And what our guidance reflects for the year from a closings perspective would infer that our sales year-over-year increase is going to moderate from Q1 and it will fluctuate Q2, Q3, Q4 in a range that supports that closings growth guidance that we’ve alluded to.
Michael Rehaut: I guess, secondly, bigger picture, kind of maybe piggybacking off an earlier question of owned versus option. Maybe said a different way, your lot option percentage has obviously while huge amounts of progress, impressive progress over the last few years, now, it’s kind of been in that low-60s type of range, 60 to 61, 62, maybe over the last 3, 4 quarters. That increase over the last few years has been a big, big driver of your improved return profile. Just trying to get a sense of over the next 2 or 3 years, certainly, you’re not going to do the same type of degree of change on the lot option profile, as you have before, maybe you’ll drift up a little bit. I do recall you guys talking about a 70% number perhaps, but maybe now that’s not as concrete. But, how should we think about, over the next two or three years, the next big lever of improvement in returns? Would it be more from a share repurchasing standpoint or are other levers that perhaps we’re not thinking about?
Mike Murray: We expect it to be just continued incremental improvement on all for us. We do expect to continue to -- and our goal is to continue to push an option percentage upward. We’re not going to set necessarily an upward target. But, we do expect to incrementally improve that as Forestar grows, build out its platform even further, that’s going to continue to be part of that growth story as well as expanding relationships with our developers. We’ve already alluded to on this call we’re expecting to turn our housing inventory faster this year. And so, that’s going to be an incremental level in terms of returns this year. And then, as our operations are more efficient and generate more cash that gives us more flexibility on the capital allocation side. And so, over the last several years, we have instituted an increasing level of share repurchases and dividend payoffs to shareholders, which has enhanced our ROE. And so, as we continue to incrementally improve each year, I think each one of those levers is going to allow us to continue to incrementally improve both operational returns and returns to shareholders.
Operator: Your next question today is coming from Jack Micenko from SIG. Your line is now live.
Jack Micenko: I wanted to revisit the pace question a little bit more. The 1Q here, this is I think the -- probably the high watermark since the crisis on sales pace. And I’m curious the guide would suggest that pace will continue to improve through the year, maybe at a slower clip. But, the improvement, looking past year-over-year with the easy comps, but the improvement over the last four or five quarters, is that all product segmentation, or are you seeing lift across all your product types? I’m curious if there’s any regional differential that can drive maybe incremental pace, improvement through the latter half of this year, maybe in the next year?
Mike Murray: I think, we’re seeing generally increased absorptions at our more affordable price points, whether that’s the entire community or certain plans within more the traditional Horton branded communities. We are not heavily exposed to the luxury end of the market. So, we’re not experiencing if there is any lift there or not lift going on there. We can speak to that very well. But, across all of our geographies, we’re feeling pretty good about the traffic, pretty good about the demand, in the most recent quarter and in the quarters leading up to it.
Jack Micenko: And then, maybe the January trend the last couple of weeks, would it be consistent what we saw in the fiscal first or does that build sort of continue in the most recent couple weeks?
Mike Murray: I’d say, we’ve seen normal seasonality week-to-week as we progressed in January. It seems like historically people talked about Super Bowl Sunday being the kickoff to the spring selling season. And we’ve noticed the past few years that seems to be starting a little bit earlier. And maybe it’s because the Cowboys did make the playoffs, people are buying houses sooner. So, we’re excited for Chiefs. And I think…
David Auld: And the 49ers
Mike Murray: And yes -- speak on opportunity.
David Auld: Yes.
Jack Micenko: Just one more for me. A couple of jobs that you’ve got, looks like you’re trying to build a team on the single family rental side. Could you just refresh us on the strategy there and the thoughts, owned versus build for others, and how you’re thinking about the business today?
Mike Murray: Yes. We’re currently think about the business, we’re still early stages on it and we’re trying to get in and really understand the operations of the business and see where we add the most value to that process. Today, it’s probably more dipping our toe in the water on the owned side, but we are certainly looking at it hard, and have not shut the door on any possibility today.
Operator: Our next question is coming from Ken Zener from KeyBanc Capital Markets. Your line is now live.
Ken Zener: So, you beat your closing guidance. I assume that was on higher intra-quarter order closings. Can you confirm that? And what was the percent for intra-quarter order closing in this 1Q versus last year?
Jessica Hansen: You are correct that beat that. This quarter, it was 40% that we sold and closed in the same quarter, which is slightly higher than we would typically do. I don’t know that I -- I do have last year. Last year, it was 37%.
Ken Zener: Okay. And then, related to that, is there any shift in terms of -- I mean, that’s what I would expect to see efficiency showing up. So, could you talk about if there is anything that you are thinking about in regards to that increase in that percent and talk about the margin spread that you -- or the trend that you guys have been seeing between the backlog closings and specifically the intra-quarter closing units?
Jessica Hansen: On the first part, Ken, I would say, it’s pretty much in line with what we would expect, especially with the number of completed specs that we have. That allows us the opportunity to sell and close more homes within the quarter. So, I would expect that trend to continue. Last year, in the second quarter, we actually sold and closed 45% homes in the same quarter, sold and closed. If you look at the margin differential, that stayed relatively consistent and that there is a slight differential and a slightly lower margin on specs than there is build jobs. That being said, really the only big differential is on our completed specs that have been completed and unsold for a period of multiple months. So, the earlier we sell it as a spec, the tighter that differential is. And as a reminder, about 80% of what we closed in a quarter started as spec. So, when you see that 21% home sales margin we reported this quarter, that’s by and large is a spec gross margin.
Ken Zener: Why is that spec margin a bit lower first backlog if there is a price appreciation? I mean, what is that -- I mean, what is that’s moving? Is that you have to discount it, that seems inconsistent with order strength?
Jessica Hansen: No. it’s that we’re underwriting to a return. And as we turn our spec housing more quickly than build jobs, we are able to work for a slightly lower gross margin and get an equivalent return. In the build job, you are actually going to lose the price appreciation, if you walk in before you start construction. And so, we like selling more in real time and capturing that margin as we move along the way.
Mike Murray: Ken, a lot of our build job sales are actually sales of homes that we had planned to start anyway. They were in the production planning process to start. They just had not stated yet, but they were released to sale on the sales floor. Our average time in backlog for a customer that’s in a build job is not terribly long because our homes -- generally, we are building through affordable price point, homes build fairly efficiently. And so, the customer is not sitting for a long period of time going through a large design selection process, lengthy permitting process till we get to start. A lot of these homes will be starting very soon after they sign the contract. So, it’s a very tight margin differential between just a traditional spec sale to the marketplace.
Ken Zener: I appreciate that. And if I could, one last question. Did you guys pull most of your permits in California to get ahead of the solar mandate? Thank you.
David Auld: No. I don’t think so. We’re responding to market out there. And certainly, the solar mandate is going to increase cost. But, pulling a permit and building a house when there is not a market forward is going to create a whole lot less return than pay any additional cost. So, it’s kind of business as usual for us out there. And the solar mandate was -- we’ve known about that for several years that we’ve had the ability to prepare, and that’s in our underwriting and we knew those costs were coming and as more and more homes are being built with solar, our base case expectation is that those costs will come down.
Operator: Thank you. Our next question is coming from Buck Horne from Raymond James. Your line is now live.
Buck Horne: Quick question. Could you just put color on percentage of communities that you were able to raise price on, on a same plan basis?
Mike Murray: Buck, we don’t have that information in terms of tracking across our neighborhoods. We’ve really have empowered our local operators to be looking to meet the market to drive returns, and that is certainly a function of pace and margin. And they’re looking to maximize that at every community, every week, every day frankly as to looking at what that pace is. And that’s something that we’re managing centrally. So, we don’t really have the ability to give you that color today.
Jessica Hansen: When we talk about a lot, our revenues per square foot, that’s a metric people -- we’ve consistently reported and we have given that yet today. Year-over-year, our revenue per square foot was up about 3%, and our stick and brick costs were down about 0.5%. Sequentially, our revenues per square foot, and our stick and brick costs per square foot were essentially flat.
Buck Horne: And switching over to just the multifamily investments. Just curious if you could provide any potential quarterly timing of expected sales or closings, or how do you think of potential gains on sale from the multifamily division, either this year, next year? How do you plan on growing that investment going forward?
Mike Murray: Sure. In terms of timing, we expect to close a total of two projects in fiscal 2020. We closed our first one here in Q1. We did say that one of our communities is substantially complete, and so the process of stabilizing the rental situation and marketing it. So, we would expect to close that one later in fiscal 2020, don’t have a specific quarter guide for you on that. And then, we do expect the investment level in the DHI Communities to grow this year. We expect it to grow approximately 100% from the point at the start of the year over the course of this year, as their pipeline is growing, and their number of projects will begin to grow more directly over the course of fiscal 2020, which will ultimately result in some future years, delivering more than two a year. The lead time, the pipeline on those deals is 2 to 3 years long. So, we’re still a couple of years out from a significant increase of volume of project sales in DHI Communities. 
Operator: Thank you. Our next today is coming from Jade Rahmani from KBW. Your line is now live.
Jade Rahmani: Thank you. With respect to single-family rental and multifamily, do you have any interest as the company, and any interest in creating a permanent capital vehicle to hold those assets? In my experience, in the REIT sector, the highest valuation is ascribed to continual recurring earnings rather than gain on sale type earnings where it’s unpredictable to the market? Just curious as to your thoughts on that?
Bill Wheat: Yes. I understand that Jade. And it’s something -- we’re aware of that as well. And that’s one of the things that we’re studying as we as we get further into this business. Our goals early on have been to ensure that we have a strong, efficient operating platform for beginning with multifamily. And as we look at the single family rental space, we’re looking to do the same thing there. And as we get that established, we then look to growing the platform and setting the capital base for it. And so, as we look at the medium and longer term plans for setting the capital base for both of those businesses, that’s certainly something that we will be considering for the longer term.
Jade Rahmani: Thanks very much. Turning to financial leverage, was wondering if the total debt to capital at slightly below 20% is in line with your long-term target, or do you think there’s potentially improvement in that ratio in years to come?
Bill Wheat: Where we are today, we don’t expect to increase our leverage. We expect to -- as we are generating cash and adding to our equity base that our leverage would not increase from here, and we could see further decreases. Our stated maximum leverage is 35% or below. But obviously, we got a lot of headroom on that today, but that does give us room that in certain scenarios we would leave ourselves some room to invest further and increase leverage, but we don’t see that in the short run.
Operator: Thank you. Our next question is coming from Rohit Seth from SunTrust. Your line is now live.
Rohit Seth: Hey. Thanks for taking my question. Can you give us an update on what’s happening with the Freedom brand? Any color on that buyer segment?
David Auld: We continue to work on that product offering presentation and lifestyle. It’s something we’re happy with. I think, it will be a larger and larger portion of our deliveries in the future. It’s a growing demographic. And we think we can provide a product and lifestyle that people are going to move into.
Rohit Seth: Would you say -- are you expecting a ramp in that business in your annual guidance or is that annual guidance more driven by kind of that entry level bar? 
David Auld: It’s still the entry level bar driving the market. The Freedom brand for us is part of our long term meet the needs of as many buyers out there as we can. And I think as the market moves, it will become a more and more important part of what we’re doing.
Rohit Seth: Understood. And then, second question on your gross margin guidance, 21%.Can you maybe break out the cost buckets there, what’s your labor cost inflation expectation, material cost and then like cost.
Jessica Hansen: Really just more of the same, so modest increases. I’d say labor has stayed in the low single digit percentage range. Now that we’ve kind of cycled through the lumber headwinds that we had, materials, we essentially would expect to be net neutral. We always have some categories where costs are going up. But, our purchasing teams do a fantastic job of finding other categories to lower our costs and offset whatever increases we’re not able to push back on. And then, land really has been kind of a low to mid single digit percentage increase, at least on a per square foot basis. And that really is not expected to change either. I mean, land costs aren’t coming down. As home prices, land costs typically follow. So, really just more of the same in ‘20 as what we experienced in ‘19, if you take out late calendar ‘18 incentive environment and the lumber costs that we cycled through.
Rohit Seth: And what is the expectation for tariff -- the tariff impact or no impact, or what you have in there? 
Jessica Hansen: We’ve got price protection on most everything. If there is a modest impact from any of the tariffs, we’ve identified ways to offset that.
Operator: Our next question is coming from Mark Weintraub from Seaport Research. Your line is now live.
Mark Weintraub: You mentioned the very positive early returns on spring selling season. Was that largely just a reference to strong orders in January, or was it other things that color that comment?
Mike Murray: The primary thing is the order trends. I mean, that’s the first read we’re getting on what’s coming through. And they’re coming in at a great pace that we’ve expected and we’re seeing good seasonal build, week-to-week with that. And anecdotally, we’re not hearing about any pushback or pressure on pricing from the customer side of the marketplace today.
Mark Weintraub: Kind of following up on that. Obviously, as Jessica just mentioned, you have a fairly benign cost environment now. As things heat up, labor does go higher, materials go higher, et cetera, do you have a sense as to what type of pricing power you might have in the current environment? And really, I recognize it’s always a question of taste versus price. But, I guess, at some point in time, when you try and push price, it could have a bigger impact than at other times. And certainly, we saw that in the last year or two. Do you think that we’ve created a bit more cushion in the environment, so that there would be more leeway on price, if costs start to go up, or do you think we haven’t exited that environment?
Mike Murray: Feel really good about the market conditions we’re seeing today and the buyers that are coming in and their urgency to buy. So, I would say we have some cushion to work with in that. But again, we’re not just looking at a margin number, it is a return numbers, as you alluded to before, the pace versus price. And so, driving the communities at the planned absorptions, we found drive the highest returns. And then, the activity that begets that coming out of buyers seeing activity, seeing momentum, drives generally some pricing power and some margin expansion, executing at the community level. And that’s really where our focus is. And as it’s rolling up, we’ve seen pretty consistent margins the last couple quarters and we’re looking at that into next quarter. We’re optimistic about spring, and that’s going to tell us where margins ultimately go for this year.
Mark Weintraub: And one last one. Where are your thoughts on offsite manufacturing as a way to potentially mitigate or improve the labor side of things in time?
Mike Murray: So, we have -- a lot of our homes are put together with trusses, roof trusses that are manufactured offsite. Others, we’re doing wall penalization in certain markets. And it’s something we continually evaluate to look at the most efficient from both a time and a cost perspective as to how to deliver the home at the best value to the buyer. So, we’re always evaluating it. We haven’t seen a sea change in the economics of that today. Most of our homes are probably stick framed with trusses would be probably the broad generalization to say. But, there are some markets where we build roofs onsite.
Mark Weintraub: Great. Thank you.
Mike Murray: Vary across the country.
Operator: Our next question is coming from Jay McCanless from Wedbush. Your line is now live.
Jay McCanless: Just two questions. On incentives, what are you guys doing with incentives now? And more importantly, what are you seeing from your competition?
Bill Wheat: Pretty stable environment there. Certainly on a year-over-year basis, our incentives are down significantly, but over the last couple of quarters, been pretty stable. It’s a normal environment where there’s usually some level of incentives related to closing costs. And then, community-by-community, there could be some specific incentives but nothing out of the ordinary certainly in our business. And really, we’re seeing pretty rational environment across other builders as well not hearing anything out of the ordinary.
David Auld: I’d say, the market is good. People are, as Bill said, performing rationally. It -- good time to be a homebuilder.
Jay McCanless: My second question. Just talking about what your average lot per community is right now and are you expecting that the trend up just to get the higher year-over-year unit closures you talked about the guidance?
Jessica Hansen: It slightly trended up here over the last couple of years, Jay, as our absorptions have improved, that does allow our underwriting to hit our standards and use slightly larger communities. So, I would say that is incorporated in what we’re expecting for fiscal ‘20, but that’s really just been more of the same of what we’ve experienced each of the last few years. Multiple product types and larger communities allows us to drive more absorption. So, I don’t have our current average lot size or a lot count. Rough, I would say probably 150, 200 lots. But obviously, we’ve got significant variation in that. We’ve got communities that are 30 lots, we’ve got a communities are a 1,000 lots.
Mike Murray: Some more options, some more owned. There’s a big mix there.
Operator: Our next question is coming from Alex Barron from Housing Research Center. Your line is now live.
Alex Barron: I guess, I just wanted to circle back a little bit to the guidance. Over the last two quarters, orders have been double digit and a little bit off of that was maybe easier comp. But, I guess, I’m just curious, you guys just being conservative this early in the spring selling season basically, giving the single digit order growth guidance or delivery guidance?
Jessica Hansen: So, Alex, not to be repetitive, but really, it is a function of where we sit today, the number of houses we have, the number of houses we had going into the year. We did have a much easier comp this quarter compared to late calendar last year, when the market was completely different than what it is. And to remind everyone, we heavily incentivized into December and really ended the spring to continue those sales increases that we saw. I think, we were the only builder in calendar 4Q of ‘18 that had an up quarter. Our sales were up about 3%, and that really was just a function of how heavily we incentivized in December to get there. So, October and November, you can read into were very tough months. And that led into a good comp this year, and 19% you though. I mean, it’s a good market. As Mike’s alluded to several times, we feel very good about the market today. But, we sit here today, we haven’t seen the spring selling season. We’ve got 5% fewer houses in the ground. So, if we’re able to push and get a few more starts in, and the spring is stronger than expected, could there be a little upside, potentially, but we don’t see a whole lot. And we did already raise the higher end of our guidance by about 500 homes.
Mike Murray: And on balance, we’re looking at much stronger returns in fiscal 2020, because we’re still seeing a good pace. Even at the guidance level, we’re seeing a good pace, at better margins, better returns and a better turn of our inventory this year as well. So, we’re very pleased with our positioning with the good market backdrop, and with our plan for the year.
Alex Barron: Got it. And then, you mentioned that the best returns come from maintaining the sales pace pretty strong. So, we [indiscernible] you are seeking to push prices so much to not upset that strong sales pace?
Jessica Hansen: It depends on the community, Alex. It really just depends. If we’ve got another community replacing a community ready to go behind it, we’re going to most likely push more pace than we are priced because that’s the best thing that we can do is continue to turn our inventory, generate more revenue and profits in a shorter period of time. But, if it’s an area of the country where we don’t have a replacement community or for whatever reason that community is not replaceable, we are going to be more likely to push price. So, it’s always a balance community-by-community.
Alex Barron: Okay. I appreciate it. Thanks and good luck this year.
Mike Murray: Thank you, Alex.
Operator: Thank you. We’ve reached the end of our question-and-answer session. I’d like to turn the floor back over to David for any further or closing comments.
David Auld: Thank you, Kevin. We appreciate everybody’s time on the call today and look forward to speaking to you again in April. And to the D.R. Horton team, outstanding first quarter. Thank you for your focus and hard work, and we’ve got a great year set up, let’s go deliver it.
Operator: So, thank you. That does conclude today’s teleconference. You may disconnect your line at this time, and have a wonderful day. We thank you for your participation today.